Operator: Hello and welcome to the Clearwater Analytics' Third Quarter Earnings Conference Call. My name is Emma and I'll be your operator today.  It's now my pleasure to hand the call over to JR Ritchie, Head of Investor Relations to begin. Please go ahead.
JR Ritchie : Thank you, and welcome everyone to Clearwater Analytics' first-ever earnings conference call highlighting our results for the third quarter of 2021. We are excited to have so many new shareholders joining us today after our successful initial public offering in late September.  Joining me in the call today are, Sandeep Sahai, Chief Executive Officer; and Jim Cox, Chief Financial Officer. After their remarks, we will open the call up to a question-and-answer session. I'd like to remind all participants that during this conference call, any forward-looking statements are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including business outlook, expectations for future financial performance, and similar items, including without limitation expressions using the terminology may, will, can, expect, and believe. And expressions, which reflect something other than historical facts are intended to identify forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our filings with the SEC. Actual results may differ from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statements in our earnings press release. Lastly, all metrics discussed in this call are non-GAAP unless otherwise noted. A reconciliation can be found in our earnings press release that is now posted on our Investor Relations website.  With that, I'll turn the call over to our Chief Executive Officer, Sandeep Sahai.
Sandeep Sahai : Thank you, JR, and welcome everyone to Clearwater Analytics' third quarter financial results conference call, our first as a publicly traded company. I wanted to start by thanking all of you for your continued interest in Clearwater. We truly appreciate it. We are also excited and incredibly proud of the team and the company that we are building. From a modest beginning, the company has grown organically to more than 1,300 employees across ten offices in seven countries. We have over 1,000 clients and on a daily basis, we process over $5.6 trillion in assets on our platform. And I feel like we are just getting started. I wanted to start by laying out the five core pillars that represents Clearwater's business model and strategy. The first pillar is Clearwater's consistent, durable growth that we have successfully achieved over several years. We have a 100% recurring revenue model and SaaS over multiple years achieved consistent analyzed recurring revenue growth of more than 20%.  The company has word-class gross revenue retention rate of 98% for eleven consecutive quarters, because we provide a very secure solution that our clients use every day. We have a solid net revenue retention rate of approximately 110 with absolute room to expand. What drives this net retention is our ability to capitalize on land-and-expand opportunities with existing clients, client AUM growth, and modest pricing increase.  The second pillar is a high-quality business and financial model that also has room to expand. Our recurring revenue model and high gross retention provides stability and predictability to our business. Our non-GAAP gross margins are approximately 75% that gives us room to continue making investments while generating reasonable EBITDA margins and free cash flow. We are committed to maintaining our technological leadership and expect to continue to make significant investments in R&D, which currently comprises approximately 25% of revenue.  Third, Clearwater has a disruptive technology platform with deep competitive knowledge. Our SaaS-based platform in the cloud is free of the constraints faced by legacy technology solutions. On our platform, securities are modeled and processed one time and used by everyone who owns that security. Data connections are added one time and used by all with the rights to that data.  The myriad industry-specific nuances and regulatory reports are set up one time and used by all, resulting in powerful metric effects. Each client adds to the power of the platform and the same single-instance multitenant platform is used across industries and with client organizations of all sizes. Every day, our platform delivers a comprehensive view of our clients’ investment portfolio that is multi-asset, multi-basis, and multi-currency.  The fourth pillar of our strategy is our multiple drivers for continued future growth, which we have laid out in what we refer to as our Three Horizons. Simply put, Clearwater is a market disruptor in a competitive environment stems with legacy incumbents. We have relatively low market penetration in our core markets that can over the next few years sustain more than 20% top-line growth because we win approximately 80% of the time we write a proposal. We believe that we can build a $1 billion business given the $4.7 billion of total addressable market that we have identified in these core markets. Thus, in the short-term or Horizon 1, we are focused on deepening our relationship with existing clients, gaining market share within core markets and clients, and continue to grow our business in Europe.  In the medium term, what we refer to as Horizon 2, we expect to make investments that have secure wins in adjacent client end-markets and deliver adjacent solutions that will allow for growth acceleration in Europe and Asia. We see these opportunities to add to the total addressable markets with additional solutions to extend our technology lead, as well as gain additional traction with governments, pension funds, and sovereign wealth funds. The longer-term opportunities or Horizon 3 include delivering insight for current and future clients of our platform from a growing dataset of more than $5.6 trillion of asset, which are processed in our platform. Additionally, while we have focused on a purely organic approach, we have flexibility financially from our recent IPO that would provide opportunities to explore M&A in an effort to accelerate growth.  The fifth and final pillar is client focus, which is embedded in the DNA of our culture. Our Boise roots have infused the company with a compassionate customer-first mindset and a way of working that simply delights our clients. Our offering, which combines the platform and our people, improves the lives of our clients' operations and accounting teams and radically simplifies the process of producing the information they need to run their business every day. Clearwater's world-class 60-plus net promoter score reflects our client's recognition of our differentiated client service.  Turning to our clients, in the early days of Clearwater, we focused solely on corporate clients, helping finance and treasury departments run their investment accounting and reporting processes, and reconciling the investment data to a web-based platform instead of few manual labor-intensive spreadsheets.  In 2012, we expanded our client base and also include insurance companies and two years later, we added asset managers. We have continued to evolve the platform to serve the needs of various industries and deliver investment accounting, analytics, through regulatory compliance. So, why our clients moving into our platform?  Clients in our core markets are facing growing challenges, driven by low yield and an increasingly complex and evolving regulatory environment. This has led to them investing in increasingly complex assets and investing globally. Organizations are currently solving these challenges by buying asset-specific and region-specific solutions, and then building massive data warehouses and hiring armies of people to run slow and error-prone processes. But there is an easy way. We want to radically simplified investment accounting and analytics using a purpose-built, single-instance multitenant platform that addresses these challenges in a fundamentally different way.  First, we start by going directly to the source of all of our client data, creating and enhancing the universal security master that allows us to reconcile the data once every day clearly and without duplication. We then run our reconciled data to our proprietary multi-asset accounting and analytics engine, before presenting the output to our clients through a modern customizable web portal.  Our platform frees up our clients on the onerous burden of managing multiple legacy software products and supporting data feeds, while also delighting the accounting and client servicing teams. The Clearwater platform also creates a network effect where every new client we add increases the security and asset coverage of our universal security master, further strengthening our ability to add client value.  All of that said, Clearwater's mission is to be the world's most trusted and comprehensive technology platform for investment accounting and analytics. And we believe that we can leverage our technology to eventually revolutionize the broader world of investing.  Now that I have set the stage for how Clearwater operates as a company and how we are positioning ourselves for future growth, let's turn to our third quarter 2021 financial results.  Q1 achieved solid year-over-year and annualized recurring revenue growth. We achieved consistent margin, even with our investments in growth and those investments are starting to show promising results and we signed multiple notable client wins, a few of which I’ll highlight. Our recent client wins in North America demonstrate our ability to achieve consistent, reliable, and durable growth.  New clients include several large asset management firms, a large number of large insurers and reinsurers, corporations spanning multiple industries including pharmaceuticals, energy, hi-tech, and consumer goods and a large West Coast-based city and county government. We also recently expanded into the real estate investment trust, the REIT market, and signed our first REIT client, Canara Investment Corporation . Canara chose the Clearwater platform to replace their legacy system, manage the accounting of their complex assets, provide data reconciliation and validation, and simplify regulatory reporting.  As I mentioned before, we have a disruptive SaaS-based technology platform that addresses industry-specific nuances and is used across industries regardless of organization size or number of assets under management.  In the third quarter, we added 82 year old global investment management firm, Neuberger Berman, as a new client, because the firm was seeking a platform to replace its legacy systems with one that could provide a single source of accurate and transparent data, flexible and integrated reporting, and automation. Clearwater is currently onboarding Neuberger Berman's OCIO, Outsourced Chief Investment Office, and Trust and works business labs.  Clearwater is a technology company. So we invest 25% of our revenues into R&D. This means that we continue to innovate our platform and product offerings with the latest machine-learning and AI tools. The key focus area is talent engagement. In the last 18 months, we have completed the build out of a world-class management team who collectively bring, not just tremendous experience to their roles, but also incredible passion. In the third quarter, we added two incredible technology leaders to round out our teams. Jody Kochansky, our President of Product and Technology, spent most of his 25 years building and running the product group at one of our largest competitors. And Souvik Das joined us as the Chief Technology Officer, billions of experience in prior CTO, and senior engineering roles, at PayPal, Zenefits, and Capital One Auto Finance. With international expansion being one of the key drivers for our growth acceleration in the third quarter, we built this momentum through key wins with one of the fastest-growing insurance firms across Asia, our first seven-figure Asia-Pacific client, in addition to our European insurer and reinsurer, the UK-based property and casualty insurer, and others.  As an example of our deeply embedded client focus, we held Clearwater's Annual North American User Conference, Clearwater Connect, last week, the second year in a row through virtual due to COVID. Our clients and prospects attended sessions that covered trending topics important to our clients, including ESG investing, our insurance client survey findings, LIBOR, and platform-specific updates. We plan to hold our European User Conference in the first quarter of 2022.  Another example of how we want to leverage our technology to revolutionize the broader world of investing, we cemented our partnership with OneUnited Bank, the largest Black-owned bank in the US in Q3.  Under this partnership, Clearwater has enhanced the interface on our SaaS platform, which now allows treasury departments building our large corporate client base to easily track and manage the deposits in minority-owned banks who in turn, provide needed capital to minority communities. This partnership has the potential to help as many as 500 corporations invest in minority communities. We continue to execute on our five pillars of growth and are very pleased with the progress we have made in this last quarter. And now, to provide more color and details on this quarter's performance, I'll hand it over to our Chief Financial Officer, Jim Cox.
Jim Cox : Thanks, Sandeep, and thank all of you for joining us on our first earnings conference call. We were very excited to complete our initial public offering last quarter and I want to thank my team and truly the dozens of others who helped us reach this milestone.  As for my remarks today, I will start with an overview of the business and financial model; review our financial results for the third quarter; and finally wrap up the guidance for the fourth quarter and full year 2021.  Our business model is simple, consisting of 100% recurring revenue model with visibility enabled by our consistently high gross revenue retention. This combination creates an incredibly durable business operating at scale, which allows us to reinvest back into our platforms and our teams to truly drive long-term growth.  Our mission-critical SaaS solution and focus on delighting our clients has allowed us to consistently win new business by displacing legacy software, as well as manual processes, while our superior client service team keeps clients happy, leading to a consistent gross revenue retention rate 98% in each and every one of the last eleven quarters.  Our unique platform built over many years leverages proprietary technology to manage and reconcile our clients' investment data with limited human intervention, allowing us to generate approximately 75% non-GAAP gross margins. These strong gross margins provide us with the opportunity to consistently invest in our solutions with approximately 25% of revenue invested back into research and development. We believe we have the best solution and our significant investment in R&D only deepens our competitiveness. Our strong margin profile and confidence in our offering from our 80% win rate when we write a proposal has led us to increase our investment in our operations and go-to-market capabilities in recent quarters to enable grow both domestically and globally, while still maintaining a compelling adjusted EBITDA margin.  We operate in a $10.1 billion total addressable market with our core markets of corporations, insurance companies, and asset managers in North America and Europe, comprising $4.7 billion in TAM. Its large and diverse TAM provides a long runway to continue consistent growth. Our sales cycles vary across the various market verticals we serve and range from one to two months for smaller clients to a year for the large to more complex. We typically sign monthly evergreen contracts with our clients using a basis-point pricing model, which allows us to grow our revenues, as our clients grow their assets. In Q3, we report net revenue retention rates of 111% as our clients continue to add assets to the platform.  In summary, we believe our model aligns Clearwater's interests with that of our clients, while also enabling our land-and-expand strategy once we have established an initial relationship. That predictable nature of our revenue, driven by our high revenue retention rate and strong gross margins allows us to confidently invest back into the business, helping to lead to long-term, durable growth, and ultimately, compelling returns for our investors.  Before detailing our core financial results, I'll first address two items impacting the year-over-year comparability of our GAAP results. First, you will notice that we reported a $10.3 million loss on the extinguishment of debt in the third quarter as we used some of the proceeds from our initial public offering to retire our existing debt, while at the same time securing $55 million in new debt financing at more attractive interest rate.  Next, you'll note we recorded $7.7 million of equity-based compensation expense in the third quarter of 2021, representing a $6 million increase over the third quarter of 2020. The increase in equity-based compensation is primarily due to increased equity grant activity and the increase in grant-date fair value, as well as the modification of equity award in connection with our IPO.  Next, I want to take one minute on earnings per share. Given our structure and the restructuring that occurred in connection with our IPO, our Q3 GAAP loss per share of $0.05 reflects only the last seven days of the quarter for the period between our IPO and September 30. And that period is impacted by the $10 million loss on extinguishment of debt in connection with the IPO. Given the shortened period, we did not provide a non-GAAP EPS. In Q4, and going forward, we expect to provide both GAAP and non-GAAP EPS.  Moving to our third quarter financial results, please note that our results will be discussed on a non-GAAP or adjusted basis unless otherwise noted. Revenue in the third quarter was $64.5 million, up 21% year-over-year as the strong sales momentum we experienced in the first half of the year continued into the third quarter. Year-to-date, revenue is down 23%.  As of September 30, 2021, annualized recurring revenue or ARR reached $257 million, a $12 million increase over June 30, 2021, and a 20% increase year-over-year. As I mentioned before, gross revenue retention was strong at 98%, marking the 11th consecutive quarter we reported gross revenue retention of 98%. The net revenue retention rate was a healthy 111%, up 220 basis points from the third quarter of 2020. We see our clients continue to grow their business using the Clearwater platform.  Gross profit in the quarter was $48.1 million and gross margin came in at 74.5% as we are investing to accelerate the onboarding of new clients both to-date and support the strong pipeline of new client opportunities we see in Q4.  Although the whole team remains committed to increasing gross margins over the long-term, we expect to continue to invest in this area through the first quarter of 2022 in anticipation of the continued strong new client demand across the globe. Specifically, we've added 20 resources in Eastern Europe with French and German language skills to support our clients in these new markets. Notwithstanding the increased investments, we continue to target steady-state gross margins for new clients at over 80% over the long-term.  Research and development expenses in the quarter were $16 million or 24.8% of revenue, in line with our expectation. We are targeting our investment in R&D at 25% of revenue over the coming quarters, which we believe will allow us to continue to drive growth in our core markets, while also delivering on the adjacent growth opportunities that Sandeep mentioned earlier in his remarks. We are hiring. So, if you know smart developers, send them our way. Sales and marketing expense in the quarter was $8.4 million or 13% of revenue, up 480 basis points year-over-year. We continue to invest heavily in our go-to-market capabilities, both domestically and internationally and we are incredibly excited by the progress these new teams are making and expect to continue to increase our investment in this area heading into early 2022 with a heavy emphasis in further building up our presence internationally.  General and administrative expenses in the quarter were $6.6 million or 10.2% of revenue, up 280 basis points year-over-year as we've now started to absorb the incremental cost of being a public company. We expect the general and administrative expenses will remain elevated as a percentage of revenue in the short-term as we annualize the impact of this public company cost.  However, we do expect to be able to scale our back-office functions over time, providing operating leverage to the business in the longer term. Adjusted EBITDA or earnings before interest, taxes, depreciation, and amortization in the quarter was $17.1 million or 26.5% of revenue, down $1.9 million from the third quarter of 2020, primarily due to the increased investments in operations and sales and marketing, in addition to incremental public company costs.  Turning now to the balance sheet. We ended the quarter with over $245 million in cash and cash equivalents and just under $54 million in debt. As we receive IPO proceeds, net of the underwriting discount and commission of $582 million in the quarter. Focusing now on guidance for the fourth quarter of 2021, we expect revenues to be in the range of $66 million to $67 million, representing 21% to 22% year-over-year growth from the fourth quarter of 2020. This raises total revenue guidance for the year to $248.3 million to $249.3 million or approximately 22% year-over-year growth. We expect that fourth quarter adjusted EBITDA margin to be approximately 26% as we continue to make investments, while also driving incremental public company costs. To summarize, we're pleased with the performance of the business in the third quarter. We're delivering unique value to our clients, while continuing to profitably grow our business. As I mentioned earlier, we operate in a large addressable market in which our penetration is still very low. We really believe we're in the early stages of a long growth path and that this new business momentum we are seeing today, combined with the investments we are making will lead to long-term, durable, and profitable growth. With that, I'll turn it over to Sandeep to provide some closing thoughts.
Sandeep Sahai : Thank you, Jim. As I said at the beginning of the call, I am incredibly proud of what Clearwater has become and I am even more excited about our future. The company's commencement of trading on the New York Stock Exchange on September 24th, commemorated by our executive team ringing the opening bell was an amazing milestone for everyone in the company. Our mission to be the world's most trusted and comprehensive technology platform for investment accounting and analytics is our guiding principle. Our third quarter financial performance, along with the explanation of our business model and growth strategy should demonstrate to you how committed we are to achieving this mission. Speaking for both Jim and I, it's our honor to share the Clearwater story with you and we look forward to discussing of the funds and strategy for the company.  Now, let me turn it over to the operator for questions.
Operator: Thank you.  Our first question today comes from Jackson Ader from J.P. Morgan. Please go ahead, Jackson. Your line is now open.
Jackson Ader : Alright. Thanks for taking my questions guys, and welcome to the public markets. The first question I have is on maybe bookings. Is there any kind of seasonality we should be expecting in terms of maybe net new ARR in a December quarter, versus September quarter versus the March quarter that we should be thinking about as we head toward the end of the year?
Sandeep Sahai : Yes. Thank you, Jackson.
Jim Cox : Sure. Go ahead, Sandeep. Go ahead. It's fine.
Sandeep Sahai : Go ahead, please.
Jim Cox : Sure, Jackson. Thanks for the question. So, there is a couple of mechanisms. So, one, like typical enterprise software companies, there is more kind of contract signing in the fourth quarter. However, when you think about how ARR rules out, not only are we signing those contracts but we're also onboarding those customers throughout that period of time.  So, that trend has abated somewhat because of that. But we feel really great about the pipeline we have going into the fourth quarter and we're excited to execute against it.
Jackson Ader : Okay. It’s great. And then, Sandeep, you mentioned or maybe, it's Jim I can't remember, on the seven-figure APAC customer, I think it was the first one in the region. That seems to be ahead of schedule. I don't remember really thinking about the APAC region just yet becoming material. So, I am just curious, what kind of resources and staffing you actually have there in order to serve customers in that region?
Sandeep Sahai : Yes. Thank you for the question, Jackson. A little ahead of schedule would actually be right. Yes, we have a small presence in Singapore and we expected them to be able to get some initial traction, but we are delighted that we got this seven-figure client from a really fast-growing insurance company. So, yes, it seemed to be a little bit ahead of schedule and we will continue to build up that office a little bit faster than we thought.
Jackson Ader : Okay. Great. That makes sense. Thank you.
Operator: Thank you. Our next question today comes from Michael Turrin from Wells Fargo. Please go ahead, Michael. Your line is now open.
Michael Turrin : Hey there. Thanks. Appreciate you taking the question. Congrats on the first quarter as a public company. The retention rate keeps creeping up here. You're at 111% in Q3. Can you speak to what's driving that steady improvement? And we get questions on market exposure, given you mentioned more than $5.5 trillion in AUM on the platform. Can you just help those newer to the story frame out what some of the reasons your model has proven more resilient even in a volatile environment? Thank you.
Jim Cox : Sure. Thanks so much, Michael. So, we do have that AUM-based pricing model. It's a gentle tailwind to our - to – than of our pricing. And just to hit the kind of market volatility question straight on the head, 86% of the assets on our platform are fixed income and structured products. So, they just don't have that equity market volatility. We just don't see that in our business.  Now, look, we're really pleased to see some momentum, you know, kind of over the last few quarters we've been 109%, 110%. We're up to 111% in this quarter. One quarter does not a trend to make. But when you look at some of the underlying drivers of what's driving that kind of modest expansion, 220 basis points, it – that's what's really interesting and exciting and that's where we really have to focus as a business to think about strategically over the long run how we continue to grow that and expand it even further. Let me give you two examples that are really the majority of those drivers. One is with our – what we call our strategic asset management client. These are our global asset managers that are using us and we're continuing to see the ability to land-and-expand with those clients. As they grow their business, they are looking to us to grow their business. And that's kind of consistently been the case in the strategic asset management marketplace.  Another example, which is more nascent, and we are encouraged by it, but again, we need to continue to execute to be able to continue to drive this expansion. But I'll use an example of a large insurance company that has a fundamental driver of their growth to go out and acquire other businesses. And we have multiple large insurers on our platform who are able to really execute upon that expansion strategy.  One, as we've started onboarding the client who had $70 billion in assets by the time we finished, had over $120 billion. And so, when I think about kind of where if I want to double my business, as a CFO, I worry about well, how am I going to do that. And so, what Clearwater allows that CFO to do is worry about it's on, it's on Clearwater's shoulders to burden that. And so, that enables one to be really free to think about their, strategic options there. And then the last thing I think I'll say is, you know, underpinning that 111%, it's easy to get to 111%, when you're always at 98% with that gross retention. That's a really, world-class number. And so driving to that cost there.
Sandeep Sahai : And if I could just add to that.
Michael Turrin : Go ahead.
Sandeep Sahai : Just a testimony to the power of the platform a little bit. This client, Jim was talking about who went from $70 billion to $120 billion, the onboarding time didn't change at all. The platform just simply absorbed it and moved on. And that is the value, I think we bring our clients that when they grow, it's fairly effortless, right? And that is, the single-instance and multi-tenancy I'm sure we have talked to you about.
Michael Turrin : That's very helpful detail. Thank you both.
Jim Cox : Emma, do you want to? 
Operator: Yes. Our next question today comes from Kevin McVeigh from Credit Suisse. Please go ahead, Kevin. Your line is now open.
Kevin McVeigh : Great. Thank you so much and let me add my congratulations, as well. Wanted to talk a little bit about the data insights and as that scales, is it – is there a certain level of asset, I mean at $5.6 trillion, what does that need to be to really drive incremental data insights across the business? Or is it a function of client duration just as we think about incremental growth drivers, beyond the business, more around data insights?
Sandeep Sahai : Yes. Thank you, Kevin, for your question. So, firstly, that's the business we are in, right? So, we are driving insights for clients today. Every day we would come out and talk to them about how their portfolios are doing. What the risk is. The compliance issues are. But yes, data insights on a broader scale, frankly, we do for our clients today and we hope to do it across clients over time.  So, this is nothing we drive revenue from. But we're investing R&D dollars in trying to build that capability sort of over the next several years. What we do think, Kevin, of that is a Horizon 3 thing. It's nothing we're expecting to do or sort of get meaningful revenue from in 2022 or 2023. But over time, we see that as a really, really powerful value we could bring.
Kevin McVeigh : That's helpful. And then, just, you've talked about kind of complexity versus geography. How do we think about that in terms of the incremental client needs? Is it the complexity versus the geographical reach? Is that evenly split or, just from a client perspective and the scale, as you scale up across your existing client base?
Sandeep Sahai : I think that, when you think about complexity in the North American market, I don't think there is, we continue to see a gradual increase in complexity. And, frankly, we have seen it, Kevin, through the last several years. So, expect that to continue to grow, only because the client complex assets continue to grow quicker than the private assets.  But as we grow out in Europe and now in Asia, that is different, I mean, because they have more asset classes there which are unique to those markets. There is also some data sources which are unique that market. And we really want to do that because what that does is makes us a comprehensive provider. So, you could have assets, frankly, around the world and we would be able to report on that.  We would be able to get the regulatory reporting on it. So, we want to do that, but that does add more work at least in the short term. If I can just also add that, if you go back several years here, we had the same issue here in North America. And now, as you think about North America, we have most of the data connections, we have most of the reporting needs taken care of and we are continuing to build that out in Europe, Asia is just newer.
Kevin McVeigh : Thank you very much.
Sandeep Sahai : Thanks, Kevin. 
Jim Cox: Thank you.
Operator: Our next question today comes from James Faucette from Morgan Stanley. Please go ahead, James. Your line is now open.
James Faucette : Hey. Good afternoon, Sandeep. Good afternoon, Jim. I wanted to ask a couple of follow-up questions. First, on back on the retention rate like, obviously, great performance there. And then, you gave a lot of reasons for why your retention rate should be so good.  I'm wondering, just as a quick follow-up, should we expect that level of retention to continue to improve or even at least remain at these levels? And what are the things that maybe from a seasonal basis or other factors could move it around a little bit?
Jim Cox : Yes. Thanks, James. This is Jim. So, as you've noticed, there is no seasonality to our gross retention, right? The last eleven quarters, 98%. When you think about – so then, let me also say long-term, right, and I do mean this like strategically and in the long-term. Recall, we are effectively, a single product company at this point.  So, as you think about offering more to your clients and expanding and thinking about modularizing the offering, those are all rational, reasonable reasons to see that retention rate grow over time. If we look at it kind of over the next kind of few quarters or so, I think that there are, there are tailwinds around driving asset aggregation, as well and I don't – I can't think of specific seasonality around, why do insurance companies choose to do an M&A?  Are they doing it in Q1, Q2, Q3, Q4? I don't see that much difference. And so, I see that that trend kind of – is pretty normal throughout those, kind of the cap throughout the calendar year. I think it comes down to, how could that accelerate in the short-term. It could be driven by the timing of some price increases, which are typically annualized, based on when a client has kind of signed their initial contract. And so, if you assume contracts grow a little bit in the fourth quarter, there is relatively more new contracts signed in the fourth quarter than there are in the other three. That could be a slight tailwind there.
James Faucette : Got it. I appreciate -- 
Sandeep Sahai : Yes. Jim, if I can… 
James Faucette : Jim and then, you know, yes. Sorry Sandeep, sorry to interrupt. Go ahead.
Sandeep Sahai : Go ahead, please.
James Faucette : Oh, no, I… 
Sandeep Sahai : All those I mentioned in… 
James Faucette : It's a way of testing us. Go ahead. Go ahead. Sorry. I sound like I am in a trash thing and Sandeep there is another. Sorry, go ahead Sandeep, please.
Sandeep Sahai : Well, all I was going to add was, James, so when you think about how the company has traditionally done this is, it's had a single price for the entire platform. So, we've got a client four years back, the price we said was the price was but we've obviously continued to add a whole new set of functionality. We spent that much money in R&D so we obviously develop it.  But we just have never, structured with thought about modularization of a platform and what you saw differently. And those are avenues about how you could structurally improve the net retention rate. Does that make sense?
James Faucette : It does. It does. And I want to go back, Sandeep, you were talking about kind of the benefits and as you expand internationally and incorporating other types of assets and as well as data sources and really how that benefits everybody and I think that explanation is quite compelling.  I am wondering if you're also seeing any notable wins in other verticals or adjacent markets yet like state and local governments or those kinds of things or how we should think about kind of the expansion beyond just international into some nearby opportunities even if it's in different types of organizations?
Sandeep Sahai : Yes, James, that, we continue to see. I mean one of the – one thing which is true about the platform is it's the same platform, right? So, you obviously know that. Its segment is in multi-tenancy. But is that applicable to local and state governments? Absolutely. Now, do you have to build a little bit to think about reporting needs which are specific to a state government or a local government? Yes.  But that's reasonably easy. We did sell our first REIT this quarter. So, that was interesting is that we sold to a REIT. We found that our solution is fully capable of meeting that need. So those are two markets where we have continuously – we should continuously grow. Obviously, we think about pensions and sovereign funds as a Horizon 2 opportunity and it's something our platform can’t address it today. It's just that we just don't have the same ability to go to that market and we need some of the time. So, that's where we sort of think about these markets as a sort of Horizon 2, compared to our Horizon 1 sort of core markets, which is insurance asset management in corporations, right, where, frankly, we win 80% of the time. And so, that's how we see it. But those new markets are definitely interesting in the North American sense.
James Faucette : That's great color. Thank you very much.
Jim Cox : Thanks, James.
Sandeep Sahai : Thank you.
Operator: Our next question today comes from Brian Schwartz from Oppenheimer and Company. Please go ahead, Brian. Your line is now open.
Brian Schwartz : Okay. Thank you very much. Hey, congratulations, Sandeep, and Jim. Really a great quarter here. I have two questions. The first question, I want to follow up on, it was the first question about the Q4 pipeline seasonality. And you signed up a lot of big deals here this quarter. You talked about the one in Asia, the one in Neuberger. Can you shed any light in terms of how the big opportunities are looking in the pipeline here for Q4? I just want to make sure you didn't drain it here in Q3. And then I have a follow-up.
Sandeep Sahai : Brian, thank you for that question here. We do continue to see a really good build-out of the pipeline. So, when you think about the pipeline, obviously, we have invested over the last few quarters pretty significantly in sales and marketing, right? So, when you think about our pipeline, firstly, insurance and asset management in North America continues to power that.  You see lots of traction in Europe. Quite a bunch of traction in continental Europe, too. And so, we do see a really robust pipeline. And as Jim mentioned, we are trying to get the operations ready to make sure we are effective in onboarding them as they come in, right? I think also Jim said, I think the seasonality isn't quite there. Is Q4 a little bit bigger? Often. But that's true for all enterprise software companies, I guess, right? And -- but it's not like it shows up in the radar right away, because you have to onboard them. Jim, would you add anything to that?
Jim Cox : Yes. I think, just to be blunt, we did not drain the pipeline. We feel, that's why we're making the investments that we're making in operations. And if you think about it, we made investments in the leadership and sales and marketing and we've built out those teams. But, that's taken a whole year to do that. So, you understand how it takes time for such people to become productive and build up teams. And so, we're optimistic.
Brian Schwartz : I appreciate that color. And then, the one follow-up I had is the newer product but I was wondering if you can give any update on the Prism Analytics. I am just kind of curious if that was part of any of these big deals that you won in the quarter and just how the reception has been for that newer technology. Thanks.
Sandeep Sahai : Yes. This is Sandeep, Brian. Prism is so exciting. I think it's so exciting because, this whole open architecture allows us to go after a market, which we would have – which would have taken longer for us to board and address, right? So, we have three clients live on it which are significant. We have a pipeline which just continues to grow there, but our ability to position this in multiple industries is really interesting.  When we talked to you earlier, we have talked about this being a big mover in the asset management world. But really, what we are also finding is it has a lot of receptivity in the insurance sector and the reason for that is the larger insurers have other accounting engines and they can't replace all of them at the same time. And so, that conversation being able to have those conversations now, I think, is very, very helpful. So, they don't always count as just Prism deals as much as how do you bring the pipeline forward and build a pipeline you may have had trouble building otherwise.
Brian Schwartz : Thank you for taking my questions this afternoon.
Sandeep Sahai : Thank you, Brian.
Operator: Our next question today comes from Gabriela Borges from Goldman Sachs. Please go ahead, Gabriela. Your line is now open.
Gabriela Borges : Good afternoon. Thanks for taking the question and congrats on the IPO and the quarter. Sandeep, I wanted to follow-up on some of the commentary provided on the asset management space in North America, in particular. Could you share with us a little bit of detail on what you are seeing with the size of the deals relative to what you typically see in insurance and corporates? And then, any color on the competitive environment, what that looks like today?
Sandeep Sahai : Yes. Thank you, Gabriela, for the question here. So, it is different, right? So, when you think about asset management, it's more land-and-expand than an insurance company, right? So, a lot of the net revenue retention number comes from there. But I've got to say that our asset management business just continued to do really well, especially in North America. We obviously had announced in Dulas in the UK earlier on asset management. So, we continue to see good growth in that. And the insurance clients are obviously more one-time normally unless you have acquisitions as Jim laid out. What else? Would you add anything else to that? Do you want to talk about? 
Jim Cox : Yes. That's - Gabriela, we've talked about how, in general, we're getting the entire book, right, at the insurance company, whereas in the asset management space, we're nibbling it to use the Neuberger Berman, example, right? Its OCIO and wealth pieces of their business, right and winning. Now, those are significant, because we have an AUM base. It's all driven by kind of the total AUM.  So not to say that that's a small piece of business by any stretch. But the point is in typical fashion, once we are in at a firm like that, we will work together and we have some other example asset management clients where they've brought us into one piece of their business, it's working well, they are bringing us into the next piece.  Those are typically, they are six-figure deals but they wouldn't be, the seven-figure deals which we typically get at a large insurance company.
Gabriela Borges : That makes sense and then, the follow-up, Jim, you mentioned equity market volatility earlier and having very little exposure there. How about the fixed income side? How do we think about the potential risk to AUM in a rising rate environment?
Jim Cox : Yes. So, insurance companies are doing book accounting, right, as well. So, I think they are pretty limited. I think on the fixed income side, that's possible. Also, remember we are managing their full book. So, as they hedge, those things are playing out as well within our AUM there.
Sandeep Sahai : And Gabriela, I would just add to that. When you look at – when you think about who our clients are, their business really more often than not is to make sure they protect their current asset pool and then grow it. So, it's like a sort of a almost in their minds, it's a two-step process. It's not like they are putting assets out there with the wanting to grow 20% of their income, down 30% tomorrow.  So, just the nature of investing keeps it - ensure those are not volatile. Now, we went back and stress tested for literally many, many, many quarters on end just to see if there was some volatility. And frankly, Jim's confidence about equity market comes from what happened a year back, a year-and-a-half back. And with all of that disruption in the equity markets, the assets on our platform like-to-like I think moved 1% or 2%. And so, we now have a different degree of confidence, if you will, on the lack of volatility on our platform.
Gabriela Borges : Appreciate the color. Thank you.
Sandeep Sahai : Thank you, Gabriela.
Operator: Our next question today comes from Kamil Mielczarek from William Blair. Please go ahead, Kamil. Your line is now open.
Bhavan Suri : Hey, guys. It's Bhavan. Hey, Sandeep. Hey, Jim. Sorry, Kamil have gotten in with a couple of earnings. But anyway, congratulations. Nice job there. I guess, I wanted to touch a little bit on Souvik, your new CTO here. How should we think about, I know it's early, but as you think about innovation, you think about expansion of some of these more complex assets, maybe crypto, maybe other things, how should we think about what his priorities are?  And you've talked about sort of investing in sales and marketing, but how do you think about investing in R&D? And you've obviously discussed this with him, but let’s get some of his priorities.
Sandeep Sahai : Yes. Thank you. Thank you, Bhavan. So, I think if you think about our platform, does it do well today for our current clients? I think most clients would say yes, and resoundingly so. But then the question is as you grow globally, and you scale faster, right, having somebody with solid background, who is bringing more with PayPal, for example, which scaled dramatically, right, in the years he was there.  And we think he brings – the program 30% he talks about it like it is 10 x, right? And how do you think a platform today and architect it such that it is capable of executing 10 x in terms of transactions load and everything else? So, that is one big focus is 10 x.  The second one is around growth globally. So, a lot of energy going into thinking about how do we build software, which is completely at home in every part of the world, right? And that is, I think there's a lot of growth led initiative he is focusing on.  And the third one is, how do we more destructively process things like private assets and complex assets. I think we do a good job as good as others, but how do we disruptively do that? And so, those are the three things, I think to wake up in the morning and sort of think about. And that's what we are focused on. I did want to quickly add also that actually, R&D spending has continued to go up, right.  And we look at what it was last year and the year before that. And so, we are very focused on. We need to protect and grow our technological leap. And so, those people have the background, if you will, of having good systems like that. That make sense at all?
Bhavan Suri : Yes. No, I think it's fair, Sandeep. I think, especially with the 3,000-plus data source connections in a particular mode, I think certainly makes you a lot of sense. I guess, my other question I had was, you haven't touched on this today. We did on the, obviously, the roadshow earlier, but just about how you are leveraging partner channels, right, enter, especially some of the new markets.  Certainly, in Europe, you've relied on channel pretty heavily, custodian partnerships, et cetera. But maybe an update on how those are progressing? And sort of, is there a chance to have the channel be more of a partner where the sales and marketing spend maybe in 2022 goes up, but sort of maybe in 2023, 2024, 2025 start to trend down as the channel absorbs some of that go-to-market, whether it's Europe, Asia, or even in the U.S. I'd love to get sort of a sense on how you think about that and how you're investing in that?
Sandeep Sahai : I completely agree – completely agree that in the European market context, those channels make a difference. Now, the good news is, we've been getting all this growth without that channel. So, can there be a true accelerator of growth rather than supplanting… 
Bhavan Suri : Right.
Sandeep Sahai : The current pipeline build, right? But it does take time. I think if you looked at the progress we've made over the last quarter, I think it's going really well. But the problem with this is, it takes time. These partnerships and channels take time and you cannot sort of bank on them until they are fully up and running. But we have a dedicated team, which is doing that now, which does just this. Channels and partnerships traditionally though, we haven't ever used it, right? And so, it's a question of building that muscle and we have dedicated teams actually out in Europe and in Boston sort of addressing this.  But it's on that you can live at pipe today – or not pipe, any of the closed deals and say, oh, those have come through the channel. So, we're very committed to building out the channel, but this is not part of our current booking. We see this as an accelerator.
Bhavan Suri : Got it. Well, it’s helpful. Thank you, guys. Thanks for taking my questions and really nice job again.
Jim Cox : Thanks.
Sandeep Sahai : Thank you. 
Operator: Our next question today comes from Rishi Jaluria from RBC. Please go ahead, Rishi. Your line is now open.
Rishi Jaluria : Hey guys. Thanks so much for taking my questions, and nice to see a pretty solid quarter out the gate. I wanted to go back and maybe drill a bit deeper into thinking about contribution from new clients versus expansion, and how we should be thinking about that mix going forward. And alongside that, how should we expect the pace of client adds to trend over the next several quarters? And then, I've got a follow-up.
Sandeep Sahai : Sure. Sandeep here. Rishi, thank you for the question here. I think, Rishi, we continue to win this 80%. This is really, in our core markets, in our core markets in where we win 80% of the time when we write a proposal. So, we continue to see that with our client satisfaction score really high, yes it is. Do we onboard a large number of clients and logos? Yes, we do, right?  Now, I did want to just clarify that, when you look at insurance companies, a lot of the growth is from building logos. When you look at the asset managers, it is more divided only because asset managers have land-and-expand and they also have new logos. In the corporate market, Rishi, it's almost all new logos. So, we do generate a whole lot on new logos and one measure would be the really the NRR, the net retention rate. I think those are from current clients and the rest of the growth is all from new logos.
Rishi Jaluria : Got it.
Sandeep Sahai : Does that make sense, Rishi?
Rishi Jaluria : That's really helpful, Sandeep. I appreciate that. Yes, absolutely. And then, the other question I just wanted to ask. Thinking maybe a little bit more long term, you know, look, you've obviously grown to this size almost entirely organically, if not entirely organically. As you think, though, about expanding the platform and functionality, how do you think about future opportunities to do so, via M&A?  And totally understanding that if you do that, you’d fully integrate the assets and kind of keep that single platform versus how some of your competitors approach M&A. But maybe can you give us a sense for just how you're thinking about M &A as a potential lever to accelerate R&D and accelerate that roadmap?
Sandeep Sahai : Absolutely. So, look, firstly, we have a really high bar, right? We have a good company. It's on our works. We can grow at this pace and frankly, grow in an accelerated basis using things like channel, using things like pensions and the other markets we talked about. So, our bar is pretty high. But then, when you think about it, what would we look for?  So, I can give you some ideas on that. The first one is accelerated adoption in our core markets. So, obviously, if you build out in Europe, it takes time to hire the team, get them onboarded, blah, blah, blah. It takes time, same thing with Asia. So, if there was a way to accelerate adoption in our core markets, that would be a real good fit for M&A.  More specifically, of course, growth in Europe and Asia. The third one would be growth in adjacent capabilities. So, there is more things on the risks space, on the rental boarding space, things of that ilk that would be interesting. And the fourth item would be growth in adjacent industries, which are part of Horizon 2.  So, if there was a way to pull forward Horizon 2 and make it a Horizon 1, like ventures or things like that, then yes, that should be the other one which should be interesting. So, there is – that’s sort of a list, though, Rishi, that we literally could go down that list and say, does it hit one, two, three, four, or five? In which case, it is interesting, but we do want to do it.  The company has not had a history of doing M&A and we think we could contribute do it organically. But really, there is no reason not to accelerate adoption. So, we want to think about it and we are working on it quite diligently as we speak here.
Rishi Jaluria : Alright. That's really helpful. Thank you so much.
Operator: Our final question today comes from Arvind Ramnani from Piper Sandler. Please go ahead, Arvind. Your line is now open.
Arvind Ramnani : Hey. Thank you and congrats on the first quarter growth IPO. Most of my questions have been answered, but the one question is since you've had your public listing, can you talk about some of the customer conversations you have had? Has the public listing made any difference? And, from a kind of Salesforce, is that like being a new slide in the presentation deck?  Were you now talking to prospective customers and kind of – and the last question on this is like, you know, is there any, is the kind of the environment charged up and excited or actually kind of looking at this IPO as an event to sort of exit?
Sandeep Sahai : Yes. Thank you, Arvind, for those questions. So, look, I've got to say and just want to make sure I say this correctly. I think employees are just, across the board, really excited and happy about this. I think from the mindset perspective, it switches us from being a challenger in our industry to some – to be part of a company, which can absolutely lead this industry worldwide.  So, from an employees - literally, up in the whole team I think, there's real excitement about this. Now, I’ve got to also tell you that one of the reasons we did the IPO if you remember was clients. Clients trust us with investment accounting and it's a critical function, mission-critical, if you will. And the fact that being a public company is really helpful to them. They can see, firstly, they get transparency, which was difficult to provide as a private company. Secondly, they can see that they are growing quickly, we are investing in R&D, and they are profitable. So, the planned receptivity has literally bar none, being really, really, really positive. I think the one question people had was whether we would continue to invest in R&D and operations. And get in all that conversations with you Arvind, and to really anyone else, we’ve always said that we will continue to invest in R&D and operations and those are pretty public statements. So, look, I think that the biggest benefit of this – of the IPO is, is the employees are really charged to believe in what we could build. And – but then the second one really is around clients really see us as having some permanence from a corporate structure point of view and the transparency they get about our company. So, I would say it's really, really, really positive. It does take some time, though, preparing for these analyst calls and doing board meetings. But otherwise, all good.
Rishi Jaluria : Perfect. Thank you and Happy Diwali.
Sandeep Sahai : Yes. Absolutely. Thank you. Happy Diwali.
Operator: We have no further questions. So I will hand back the call to Sandeep Sahai for closing remarks.
Sandeep Sahai : Look, well, thank you, all for joining. We very much appreciate the time you take to understand our business and for giving us the opportunity to present the company to you. We're really excited about Q3 and we look forward to discussing Q4 results with you early next year.  And so, thank you for all your fantastic questions and for your participation. Thank you all.
Operator: Thank you for joining today’s call. You may now disconnect your lines. 